Operator: Good day. And welcome to the LendingClub Q1 ‘21 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Sameer Gokhale, Head of Investor Relations. Please go ahead.
Sameer Gokhale: Thank you and good afternoon. Welcome to LendingClub’s first quarter 2021 earnings conference call. Joining me today to talk about our results and recent events are Scott Sanborn, CEO; and Tom Casey, CFO. Our remarks today will include forward-looking statements that are based on our current expectations and forecasts, and involve risks and uncertainties. These statements include, but are not limited to, timing and benefit from our acquisition of Radius and resulting bank charter, platform volume and the future performance of our business and products. Our actual results may differ materially from those contemplated by these forward-looking statements. Factors that could cause these results to differ materially are described in today’s press release and our most recent Forms 10-K and 10-Q, each is filed with the SEC. Any forward-looking statements that we make on this call are based on assumptions as of today and we undertake no obligation to update these statements. Also, during this call, we will present and discuss both GAAP and non-GAAP financial measures. A description of non-GAAP measures and reconciliation to GAAP measures are included in today’s earnings release and related slide presentation. You can find both the press release and slide presentation on the Investor Relations section of our website at ir.lendingclub.com. And now, I’d like to turn the call over to Scott.
Scott Sanborn: Okay. Thank you, Sameer. Good afternoon, everybody, and thank you for joining us. When we last talked, I told you that with our acquisition complete, we will be evolving to a new business model, that of a digital marketplace bank. And I shared that this model would be positioned to outperform and deliver sustained growth and profits, fueled by our leadership in personal loans and our considerable strategic advantages. Accordingly, I’m happy to report that we are off to a great start to the year. Our Q1 results came in above the high end of our guidance, as we accelerated originations 63% quarter-on-quarter and increase revenues 40% to $106 million. What’s even more exciting is that our Q1 activities will deliver an additional $70 million in interest income in the quarters to come, representing a new recurring revenue stream that will continue to grow as we build our loan portfolio. This is just one clear example of the benefits of adding the digital bank. As I have said previously, personal loans will be our near-term economic driver and will pave the road to our broader future as a full service digital bank. It is a great time to be launching a digital bank and we are starting from a position of strength, given our ability to attract valuable creditworthy customers at scale and to save their money through a seamless experience. In addition to our new lower funding costs, LendingClub has multiple competitive advantages. And both our Q1 results and our sustained growth over the long-term will be built on how we leverage these differentiators. So our advantages include our large and loyal base of members, our data supremacy based on information on over $60 billion in loans, our tech platform that allows us to deliver a fast and frictionless experience, our marketplace model, which allows us to efficiently serve a broad range of customers and now our digital bank, which provides structural, financial and strategic benefits to expand customer lifetime value and to accelerate earnings growth and diversification. Let me spend a minute on each of these. First, our members, our results demonstrate the continued benefits of having a large and loyal installed base of 3 million members. The majority of our loans in Q1 were to our existing member base and this drove significant marketing efficiencies, that there were originated at a fraction of the cost compared to loans to new members and they also demonstrated lower credit risk. As the economic outlook has improved and with our digital bank acquisition complete, we have ramped marketing back up to deliver a 63% increase in total loan originations, which includes 135% increase in originations to new customers. While consumer demand is currently below pre-pandemic levels and the competitive market is dynamic, we believe that we are well-positioned to outpace the market’s overall growth rate and to capture significant share. Our second key differentiator is our data and technology leadership, supported by 15 years of significant investment and our experience of more than $60 billion in loans. This provides us with an enormous data advantage in both origination and servicing. We take this huge data set and apply the latest analytical techniques, including neural networks and machine learning to inform our decisions. We deployed dozens of models to drive our targeting, fraud, underwriting, pricing, servicing and user experience, and to manage outcomes for distinct customer segments. This allows us to make compelling offers to customers, while providing competitive returns for platform investors. It also allows us to automate originations and efficiently grow loan volume without a proportional increase in headcount. As the economy recovers and we normalize our underwriting, we expect more than two-thirds of our loans to be automatically approved, while maintaining fraud rates in the low single-digit basis points. That’s one of the lowest in the industry. Our ability to assess and manage risk, and to quickly adapt to the environment is evident in the results during the pandemic. Looking at the latest performance data from dv01, LendingClub is outperforming the market in all credit segments in which we compete, with delinquency rates that are over 35% better than the average. In addition to our performance, the asset class more broadly has validated its place in the payment hierarchy. A recently released study from TransUnion confirms our internal data that customers prioritize payment of their personal loan obligations above many others, including credit cards. These compelling results for the category in general and for LendingClub in particular, are boosting loan investor demand for our assets. This is critical because even with the addition of our digital bank, the majority of our personal loans continue to be funded through our marketplace, which is our third key differentiator. Our broad range of investors allows us to serve a wide range of customers at competitive prices, which helps support our industry-leading marketing efficiency. Our final differentiator is our digital bank, where we are immediately capturing the following financial benefits. One, funding costs are down approximately 300 basis points versus what we paid in 2020. Two, we lowered our origination costs by eliminating fees to third-party banks. And three, as I already mentioned, we’re building a significant new revenue stream from retained loans that will drive higher revenue per loan and accelerate our growth. We also continue to win accolades, in March, CNET recognized our consumer checking account as best overall, beating out both traditional and online only banks. And our digital bank was recognized by Celent, a leading research firm focused on technology for financial institutions for our innovation on PPP. In just six days, we released an offering that is cumulatively delivered over $870 million in loans, that helps small businesses keep more than 75,000 people employed. So taken together our large and loyal member base, our data and technology leadership, the marketplace itself, and of course, our digital bank, create a powerful new business model. Relative to banks, we expect to grow more rapidly and be more efficient at customer acquisition, compared to traditional fintechs, we will be higher earning and more resilient. We are on a mission to help our members manage their lending, spending and savings, and to make it easy for them to make the smart choices with their money. In closing, I’d like to thank all the LendingClub employees who work to get us off to such a strong start and especially thank the team at Radius Bank, who are now LendingClubbers and are working hard to accomplish our Zoom-based integration. With that, I’ll pass it over to you Tom.
Tom Casey: Thank you, Scott, and good afternoon, everyone. As Scott mentioned, we delivered a strong quarter and grew originations by 63%, with 40% growth in revenues and an entirely new revenue stream building -- beginning to build. Our results came in well above the upper end of our guidance range for originations, revenue and earnings. We have lowered our funding costs and eliminated our issuance costs and as we continue grow originations, we expect commensurate growth in our marketplace revenue. Strong growth in marketplace revenue will generate capital, which will allow us to fund growth in our highly profitable consumer loan portfolio. This will accelerate our overall revenue growth and primed the pump for recurring high margin earnings for years to come. So with our differentiated marketplace bank model, we benefit from the best of both worlds, our capital light fee-based marketplace business and our high margin bank model. Now, let me walk you through the new financial recording format we adopted with the closing of the digital bank acquisition. We believe the new format will help facilitate a better understanding of the key drivers of profitability and comparisons to our peers. And we’re moving away from our historical focus on adjusted EBITDA and shifting our focus to managing to GAAP financial results. Let’s walk through the financials. Again, Q1 revenues grew 40% sequentially, compared to our expectations of 15% to 25%, reflecting stronger loan origination growth, as we open some of our marketing channels. The difference between origination growth and revenue growth is due to the deferral of fees associated with loans we retained on the balance sheet, which will generate recurring revenue over time. Adjusted for these deferrals, revenue growth for the quarter would have been in line with origination growth at 64%. Net interest income for the quarter was $18.5 million, up from $2.9 million in the prior quarter. This reflects two months of interest income from Radius assets, as well as the interest income from consumer loans we started to retain during the quarter. In Q1, we recorded a CECL provision of $21 million, which included $7 million per day one CECL expense to build credit loss reserves for the acquired Radius portfolio. Operating expenses for the quarter were $134 million, approximately $10 million reflected Radius’ OpEx for two months, as well as an increase in compensation expenses as employee salaries returned to pre-pandemic levels on January 1t. Marketing expenses also increased for the quarter, reflecting the opening of marketing channels, I mentioned earlier. And lastly, we incurred approximately $9 million in non-recurring acquisition related expenses. Just to recap, we had three items that drove almost all our GAAP loss for the quarter, revenue deferrals net of cost of $14 million, $21 million of CECL provisions over actual credit losses and non-recurring acquisition expenses of $9 million. Taken together, these items represent $44 million of our GAAP loss of $47 million. In terms of capital, we capitalized the bank with $250 million of cash and we held $76 million of unrestricted cash at the holding company. At the end of the quarter, the bank had a CET ratio of 22.2% and Tier 1 leverage ratio of 12.9%. The difference between these ratios primarily reflects the significant amount of cash and securities on the bank’s balance sheet. We intend to redeploy a significant amount of the excess liquidity into loans over time driving higher net interest income, and we will remain prudent about how we manage our capital. We’ve had a very good start to the year. Looking at the second quarter and the rest of 2021, we expect continued strong growth in the marketplace and we’ll continue to build our portfolio driving very profitable recurring earnings stream. Marketing channels that were shutdown at last year are up and running and we’re seeing strong loan investor demand. Now let’s turn to our outlook for 2Q and the full year. We expect 2Q revenues to be in the range of $130 million to $140 million, up 23% to 32% sequentially, with full year guidance increasing from $480 million to a range of $500 million to $530 million. With the success we saw in 1Q, we are projecting 2Q originations to range between $1.7 billion and $1.9 billion, up 15% to 28%. And for the full year, we’re increasing our outlook from $6.3 billion to a range of $6.8 billion to $7.3 billion. Our GAAP earnings will continue to reflect deferred revenue and CECL provisions depending on the amount of loans we retain. We expect 2Q GAAP net loss to be between $40 million and $30 million. And for the full year, our guiding to improvement in our full year results from our previous range of $200 million to $275 million to our current outlook of $167 million to $142 million. This quarter you’ve gotten a glimpse of what our new marketplace bank while it can do and we look forward to sharing more with you as we progress throughout the year. With that, let me open it up to Q&A.
Operator: [Operator Instructions] Our first question comes from Henry Coffey with Wedbush. Please go ahead.
Henry Coffey: Yes. Good afternoon, everyone. And Scott and Tom and Sameer congratulations on a job well done and I’m sure the whole team has worked really hard. I have couple of questions. First, in trying to understand the bank, can you tell us what that portfolio is made up of and how that -- how outside excluding the consumer loan held for investment business, how that portfolio is likely to change in size over time?
Tom Casey: So, thanks. Thanks, Henry. And just a couple of details, we did do a schedule in the earnings release for your reference. On page nine, we broke out the assets of the bank and the holdco. So it’s a lot easier for you to see where the holdco earnings are going to be coming from. So the total loans in the bank are just about $2.1 billion. Those are made up of about $324 million we had at the end of the quarter of consumer loans and then the remaining were the commercial business that we acquired from Radius. Keep in mind that about $661 of that was PPP loans. So, obviously, the balance sheet is slightly higher, because of the gross up of the [ph] PPP loans. That’s the makeup of the earning assets. We do obviously have some securities that we also hold about $151 million and then we do have about $792 million in cash sitting in the bank.
Henry Coffey: Should we expect the bank related loans and I’m separating all this from the LendingClub consumer business to decline over time or is that also going to be a growing business?
Tom Casey: So I think we’re going to see the fastest growing piece of the business will be the consumer, because we don’t have anything in there right now. So we just started building a portfolio. We expect that to be about 15% to 25% of our volumes per quarter. So that will grow faster than the…
Scott Sanborn: Origination volume of the consumer loan.
Tom Casey: That’s right. Of our origination volume. But all the portfolios are expected to grow some in 2021.
Henry Coffey: And then, finally, and this is the question I get most frequently, as you look at balancing growth and integration costs, and all these different moving parts that you’ve articulated for us, what is the prep -- what is the path to GAAP profitability and how long does that take? How do you balance that against growth? Because, obviously, there’s a lot of growth we had from putting the loans on balance sheet versus selling them to somebody else?
Scott Sanborn: Yeah. So, hey, Henry, it’s Scott. I will start. Tom maybe you can come over at the top with any details. And what we’re trying to show with most of the prepared remarks and then in materials we shared separately is, the model is highly profitable, right? We’re -- it supported by a new revenue stream, that for the same activities we were doing prior to the acquisition, we’re now generating significant revenue and we’ve lowered our cost base also pretty substantially. So it’s -- for us, there’s, obviously, a trade-off between the timing to profit versus the size of the eventual profits and we’re going for the later, right? So our in period results are going to be impacted by loan retention, but that’s going to maximize our long-term profit. And we planned it -- we’re building this business for the long-term, we want to maximize that long-term profit. So -- and we think, as I said in the call, we feel really good about the credit we are generating and about the returns we’re going to get on this. We think that sets us up for long-term significant growth and profit.
Henry Coffey: Why don’t you talk about the mix? Yeah. I’m sorry, go on, Tom.
Tom Casey: No. I was going to say, Henry, this is to call out some things I said in my prepared remarks. The $47 million loss, we did have a number of items in there, obviously, the non-recurring item of $9 million just related to the closing of the transaction. And then we had about $28 million of items related to CECL for loans being put on the books and deferral of the origination fee. So you can see that a lot of that impact on the GAAP results were the result of the accounting convention, burning fees and having the book losses. So we feel very good about the line of sight. But we’re going to continue to put loans on the books and we’ll continue to have this impact on our revenue and earnings because of the accounting convention. So we indicated 15% to 25% is the right number for us right now. We think that’s a good balance between the growth and profitability. But as Scott said, it’s really about how much profitability we think we can generate and how that will fuel the rest of our ambitions by having a very, very nice revenue stream coming at us.
Henry Coffey: Great. And thank you and congratulations on all the work that went into this process.
Scott Sanborn: Thanks.
Tom Casey: Thank you, Henry.
Operator: [Operator Instructions] Our next question comes from Steven Kwok with KBW. Please go ahead.
Steven Kwok: Hi. Good quarter and thanks for taking my questions. I guess, the first question I had was just around the strong originations growth and expected that to continue by raised guidance. Can you just talk about the competitive landscape? What are you seeing there and what’s the secret sauce behind the strong originations growth? Thanks.
Scott Sanborn: You got it. As we mentioned last quarter, we’ve -- in Q1 we really just relit up the marketing channels for the first time. And we’re in the process of going back out into the market and we’re really optimizing and tuning on a channel-by-channel basis. And we feel very good about how we’re positioned. I mean, the secret sauce, if you will, is both the data advantage, I talked about, the fact that we have a combination of new customers we are bringing in, but also our existing member base that’s generating some of our volume. And if you recall last year, we had mentioned that, we rebuilt our decision infrastructure and that’s enabled us to really increase the speed and dynamism with which we can respond to signals we’re getting in the market and we’ve been able to do that as we go through the different marketing channels. And in terms of the environment, I will say, it is competitive. Basically everyone who is out there pre-COVID is back. I don’t know they were post-COVID yet, but they’re back in the current environment and there’s even some new players. And we expect the environment to continue to be fairly intense and that a lot of people are looking for yield and consumer demand is below pre-COVID levels. We think that’s temporary and we’re certainly seeing spending start to recover. But within that framework of temporarily reduced consumer demand and a lot of competition, we believe we could not possibly be better positioned for all the reasons we articulated. We’re going to have a broader approval rate than the bank competition. We’re going to have higher earnings per loan and lower funding costs in the fintechs and we’ve got a big data advantage. So -- and spreads right now, margins are little wide, credit is performing exceptionally well. So we feel good about our ability to compete in this market and that’s why we were confident to increase the guidance.
Steven Kwok: Great. And you mentioned about the increase in sales and marketing. How should we think about the expense base I think going forward? It’s relatively stable over the last three quarters, as we look ahead, if you can help guide us there? Thanks.
Scott Sanborn: Tom, do you want to take that?
Tom Casey: Yeah. So, Steven, you’re right, we have -- we took a big, big effort last year to resize our expense base. You see a little bit of a hiccup with the addition of Radius. I commented about $10 million. That was just for two months remember. So it would be a little bit higher on a run rate basis. So expect that in the second quarter. But we feel like we’re at a point where we’ve got a lot of capacity to handle this growth. You’ll see us continue to invest in new capabilities. But we feel like we’ve got a lot of scale that can continue to be utilized as we ramp up our volume. So, we obviously continue to monitor that, but we feel very good about the expense base right now and we didn’t really lose a lot of capabilities with our expense actions last year and we feel good about kind of where we’re headed for the rest of the year. We’ll have some growth in expenses, but I don’t think a significant call outs at this time.
Steven Kwok: Thanks.
Scott Sanborn: To say another way, we preserve the capabilities to get back to the level of originations and drive the growth that we’re currently seeing. I guess the only other thing I’d say is, the revenue per origination is a number that’s going to be growing, right? So it’s just another lens, our denominator will be changing there, because we’re going to be able to generate more revenue from our each loan that we’re producing.
Steven Kwok: Got it. Good quarter, guys. Thanks.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Sameer Gokhale for any closing remarks.
Sameer Gokhale: Thank you very much, everyone, for joining us today and if you have any further questions, please contact the Investor Relations team and we’ll be happy to assist you.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.